Operator: Good day, everyone, and welcome to the Mack-Cali Realty Corporation Second Quarter 2017 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Michael J. DeMarco, President and Chief Executive Officer. Please go ahead, sir.
Michael DeMarco: Thank you, operator. Good morning, everyone, and thank you for joining the Mack-Cali's second quarter 2017 earnings call. This is Mike DeMarco, the CEO of Mack-Cali. The lovely day in a waterfront, sun shining. I'm joined today by my partners Marshall Tycher, Chairman of Roseland, our multi-family operation; and Tony Krug, our CFO. On a legal note, I must remind everyone that certain information discussed in this call may constitute forward-looking statements within the meaning of the Federal Securities law. Although we believe the estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. We refer you to our press release, annual and quarterly reports filed with the SEC for risk factors that could impact the Company. Last night, we filed one supplement for Mack-Cali and Roseland this quarter. We will continue to work to refine this document that contain only the most relevant information and therefore welcome all comments that you have is to what should be put into the dock. We will also be referring to key pages in the supplemental during this call. As we have done before, we're going to break the call into following sections. I am going to start, I will discuss the office leasing and results, and I'll view the markets. I'll turn it over to Tony, who will recap our operating results for the quarter. And then Marshall will provide an overview of our multi-family operations. I will then provide an overview of our capital market activities and comment and our views of our guidance of 2017, as well as provide an update on our strategic plan before we take your questions. As disclosed last night, our results indicated that we had a very good quarter, ninth in a row, showing real positive results for 2017. Our strategy while we are addressing the market positions is generally exceeding our estimation in key areas and only slightly lagging on few areas that we believe we can correct in our coming quarters, which is obviously the backfilling of the waterfront lease expirations for 2017. I'd like to make some comments on three areas of operations before I discuss leasing. Regarding operations, we had a solid quarter to date in transforming the company. We executed our own objectives for this quarter. Leasing was strong for office from a window point of view and we have number of new tenants actively looking at space how it's apparent and their decision to taking longer they make or tenants - for new tenants this corporations are much more cautious in this environment. On the residential side, as Marshall will outline in his prepared remarks, our business continuous to outperform. Two, strengthening our balance sheet is a core focus. We maintained our leverage ratio this quarter with our interest coverage ratio at 3.5 times and fixed charge coverage at 2.8 times. Our line as you may noticed no longer been drawn down the way it was in the preceding quarters. We have refinanced our balance sheet in the past and now we are at a point where we can focus on reducing debt levels. We are resizing about five on the [indiscernible] result increasing revenues for office and multi-family, creating a right operating margins and with the corresponding decrease in CapEx and leasing cost, we have dramatically improved our net cash flow results. Those proceeds are approximately $465 million of which we have under contract for the year will be used to pay down our debt levels by year-end. This is the $250 million bond offering that is due in December and the mortgage on Plaza 5. Take note of the fact that we are producing increasing cash flow at the dividend CapEx needs for the last two quarter and we are investing it in our assets in a number of new cafes, gyms and lobbies that we expect to help our leasing performance in the third and fourth quarter of this year. Third and last, our portfolio has been defined now. We have a focus on the waterfront, other key transit-based locations. Our sales actively which we haven't great case done for most of the year should be substantially completed early 2018. Based on our key rents in multi-family and office connectivity, the waterfront is becoming a clear choice individuals to live and hopefully corporations [ph] based on operations. Let's turn to leasing. Our Core, Waterfront and Flex portfolio of commercial properties was 89.9% leased at June 30, down slightly from last quarter of 90.4.% We currently having a very solid third quarter as July and August have significant lease activities at excellent GAAP and cash levels. We singed over 725,000 square feet of transaction during the quarter, a year-to-date leasing activity to almost 1.1 million square feet. As we indicated last quarter giving our repositioning portfolio, we set up goal about 500,000 square feet per quarter and we have obviously exceeded this quarter and should be in a same place for next quarter. Across our Waterfront, Core, Waterfront, Flex per properties, our rents on second quarter deals rolled up 6.6% on a cash basis and 17.7% on a GAAP basis. Year-to-date rents have rolled up 4.5% cash and 15.2% GAAP. A strategy we took over two years ago was to reverse to roll down that had played the company since 2007. This is our ninth consecutive quarter of GAAP roll up and we now need to focus on improving our cash numbers which we can do in the upcoming quarters. We continue to hold the line on leasing costs. For this quarter transactions, we committed with $2.11 per square foot of lease term, and our year-to-date average is $2.30 well below where we have been in the recent years. Our Flex portfolio continuous to outperform with several renewals and excess of 50,000 square feet in Westchester County and Central New Jersey. Additionally, we signed a new 66,000 square foot long term lease in Stanford. During the quarter, we renewed or re-rented almost half a million square feet of 2017 and 2018 expirations, remaining 2017 roll over in Core/Waterfront/Flex is 1.1 million square feet, most of which doesn't expire until the fourth quarter. Flex within the quarter end, we signed a long term renewal with Montefiore Medical Center, but 300,000 square feet across several our portfolios in Westchester County, of that total 115,000 square feet represented 2017 and 2018 rollover. Looking at the broader markets, economic news continues to trend well in New Jersey, unemployment rate is down to 4.1%, down 100 basis points this time last year, and it states the lowest average since 2001. Recent activity in both Northern and Central New Jersey has been healthy in the second quarter. Year-over-year direct Class A vacancy has dropped from 19.6% to 17.8% in Northern New Jersey and 15.4% to 13.2% in Central New Jersey, where rents continue to increase across most of the sub markets we're operating in. Now to the Waterfront, touring activity in our portfolio remains healthy, special over the last several weeks. Average rents are up over 17.4% from last year and high for Class A properties, which feel [ph] defines our sub market with the most accuracy of Class A rents in the sub markets at $45.67 this past quarter. In Westchester County, our portfolio consist most of Flex and properties in White Plains CBD. Demand has been particularly strong, year-to-date activity is the highest recorded in over decade and rents are expected to rise. We look forward to a positive second half year. I'll now turn over to Tony.
Anthony Krug: Thanks Mike. Funds from operation for the quarter ended June 30, 2017 amounted to $60.5 million or $0.60 per share as compared to $64.1 million or $0.64 per share for the quarter ended June 30, 2016. For the six months ended June 30, 2017, FFO equal to $116.3 million or $1.16 per share as compared to $112.3 million or $1.12 per share for the same period last year. Core FFO for the quarter was $60.5 million or $0.60 a share as compared to $55 million or $0.55 per share for the quarter ended June 30, 2016. For the current quarter compared to last year, the 9.1% growth in core FFO per share resulting primarily from increased base rents in 2017 and interest expense savings from refinancing of high rate debt. Net income available to common shareholders for the quarter ended June 30 was a loss of $37.3 million or $0.44 per share as compared to net income of $48.4 million or $0.54 per share for the quarter ended in June 30, 2016. For the six months ended June 30, 2017, net income available to common shareholders was a loss of $17.5 million dollars or $0.33 per share as compared to income of $110.6 million or a $1.23 per share for the same period last year. Included in net income for the quarter was a loss of $39.0 million and loss of $33.4 million for the six months ended June 30 from property transactions. As shown on Page 28, same store NOI was up 0.5% on a GAAP basis and 4.8% on a cash basis for the quarter with the first six months an increase for 3.1% GAAP and 5.4% for cash. Total company G&A for the quarter was $12.5 million with $9.5 million for the office public company and $3 million for Welldren subsidiary. Reducing G&A expense remains a focus for us, and as we've said before expect to achieve additional savings as we further streamline our portfolio. Turning to our financial statistics as indicated on Page 8 in the supplemental, our total indebtedness at year end was $2.95 billion with a weighted average interest rate of 3.87%. And on Page 10 and Page 11 of the supplemental, debt to un-depreciated assets ratio was 47.5% and net debt to EBITDA annualized was 8.3 times for the quarter. We have fixed charge coverage ratio of 2.8 times for the quarter and interest coverage of 3.5 times. Our $600 million unsecured credit facility and $99 million drawn at quarter end meeting meaningful availability to support our business initiatives. I will now turn the call over to Marshall.
Marshall Tycher: Thanks Tony. Roseland had an excellent second quarter led by strong leasing and core acquisitions. At quarter end, Roseland's stabilized operating portfolio at a lease percentage of 97.9% as compared 97.5% last quarter. Rents in Jersey City and Overlook Ridge our largest two submarkets where we delivered M2 Urby and Chase II over the last year were up 1.5% and 5% year-over-year respectively. Our existing Jersey City operating portfolio of Mount Bay and Monaco maintained an average lease percentage in excess of 97% during adjacent lease of activities. Roseland recently delivered a 1,162 apartments continued a strong leasing performance in the second quarter. On stabilization anticipate in 2017, these three communities delivered approximately $16 million a stabilized net cash flow. These highlights include Jersey City Urby are 762 units 69 floor tower at Harborside, commence leasing activities on March 1. And five months since opening, nearly 600 apartments, an average price per square foot of $56. Based on this extraordinary absorption, nearly 120 apartments per month the community is currently 79% leased. Chase II is a wholly owned 292 apartment project representing next phase of development our master plan over the bridge community in northern Boston. The asset has absorbed quickly and is currently 91% lease and Core replaced at 108 apartment community in Tuckahoe in lower Westchester is currently 58% lease. Addition to lease portfolio, Roseland has nine projects, representing 1,928 apartments and 372 hotel keys in construction. Construction portfolio represents $775 million of cost with $55 million in projected NOI generating a blended deal including the hotel of 7%. Average Roseland ownership in this portfolio is 96%. Roseland's initial delivery from this active construction portfolio will be the fourth quarter opening of the 197-units Signature Place and Morris Plains. We're also forecasting deliveries in early 2018 building 830 units in three communities. River House 11 and Port Imperial, work side on the East Boston waterfront and the residential of city square Phase I at downtown Worcester. In total, this in construction portfolio is forecast to produce a stabilized cash flow of $30 million. As detailed on Page 34, the Company's supplemental, plan stabilization, we forecast our combined lease construction portfolio will generate approximately $46 million of new stabilized cash flow [indiscernible] service. In the second quarter, Roseland closed on two acquisition in its core geographies. In April, we acquired 100% of our joint venture partner's interest in Monaco towers, the 523 unit, two tower stabilized community located in the premiere submarkets of Jersey City. The transaction had a gross asset valuation of $315 million. The capitalization rate on trailing 12-month NOI was 4.66%, however with the inclusion of our promoted interest, the affected capitalization rate was 4.81%. The acquisition converted Roseland's non-cash flowing 15% subordinate interest to 100% ownership and producing year-one net cash flow after debt service of approximately $8 million. In June, we closed an access to our joint venture partner's interest in Quarry Place for $4.8 million thereby converting the asset to 100% ownership. That's with the acquisition at quarter end, we secured a $41 million 10 year interest only financing on this asset. Looking ahead in the third and fourth quarter, we forecast additional construction starts in Port Imperial and Overlook Ridge. In the first quarter, we closed on $300 million equity commitment with Rock Point Group which at quarter end had a $150 million of capital outstanding. Rock Point transaction validated Roseland NAV of approximately $1.25 billion in closing. As detailed in the supplemental, we calculated current Roseland NAV of approximately $1.57 billion. After Rock Point's participation, Mack-Cali share Roseland will be approximately $1.41 billion or $14.10 per outstanding Mack-Cali share. This value is primarily in operating or in construction assets geographically concentrated along the Hudson waterfront and key Boston submarkets. I'll now turn call over to Mike for closing remarks.
Michael DeMarco: Thanks Marshall. Before we take questions, yesterday we finished the quarter on Albanian on a strong note and all objectives obviously other than the lease up of the upcoming explorations in the Waterfront for 2017. It's literally two years and two months since we took over as a team and I think we've accomplished a great deal in those 26 months. The portfolio today is much stronger, it's much more balance, there's a right composition, as Marshall just outlined, our multi-family business has come into its own. Regarding our earnings, we readjusted our range in FFO guidance for 2017 down to $2.18 and $2.28. This is primary cause of the delay in leasing new space to the place explorations coming due at the end of 2017. We've chased several deals with tenants go for incentives. We book all those out and we are close to securing those tenants, but they have not yet fully committed to us. Therefore, we thought that was cautious that they put out to us what we think will be the performance. I will tell you this that does not affect the cash number for this 2017. The third quarter earnings are pretty much we think in the solidly where we think it should be, and 2018, the rest of fourth quarter should be as expected as planned, we expect no other hiccups. We believe we're in a place now to handle our debt levels to within the range. We also believe we've done a great deal of job of reducing our exposure to suburban office as in the histogram in the presentation we gave you that goes over to the combination of the Flex business which proven to be relativity resilient. Marshall's business which is obviously multi-family which is growing and underlying urban and waterfront portfolios, the suburban business that played us from beginning is probably less than 15% at the end of 2018. And with that I'd like to turn over for questions. Operator, first question?
Operator: Thank you. [Operator Instructions] We will take our first question from John Guinee, Stiefel.
John Guinee: Great, great. Okay. I know you guys are doing a lot of things there and in general, it sounds like things are good. FFO dropping $0.09 at the midpoint get you down to a run rate of $0.53 or $0.54 per quarter in 3Q and 4Q. And I pay a lot of attention to this stock, but I can't figure out what the heck's going on, so I know nobody else on the call can. Can you just give us numbers that we can live with on the office dispositions? It looks to me like there's about a $1 billion scheduled between 1-1-17 and early 2018 if I'm looking at page and reading page 6 correctly, 63 million has closed as I think is what it says here, so that implies that you've got $950 million Flex or secondary office to close. First, is that correct? And then second, can you give some conservative, but definitive numbers in terms of disposition expectations over the next three or four quarters?
Michael DeMarco: Surely, John. So what we would tend to do is to lay out a plan of dispositions at beginning of the year, and we chose a target of $700 million to $800 million, which is the guidance we provided back in October which we updated you to the quarters. In order to hit that number, we actually outlay a little larger portfolio, as we go down and say what we actually need if something falls out a bad, or we want asset manager will pull back a deal. We know how to use proceeds of $700 million-$800 million on an endeavor payment or some potential deal that we haven't found yet or identified to purchase. So currently as you pointed out sold about $60 million in the first part of the year. This month, we have several acquisition - sorry several disposition that are closing. We should have by the end of third quarter probably $400 million or so in close so probably $500 million in total when you add what we've already done. And in the last part of the year, we have a number of depositions that have been set up and we've agreed to terms not fully documented, probably get to $200 million maybe another $300 million, which will give us the total that we chose to do which is about $800 million. We list as a preview to what people think over the quarters, what we will do in early 2018. Early 2018 is the remainder of everything else we thought we would be needed to get rid of in order to get down to the portfolio that we want to operate. That total is probably another $200 million, maybe its $300 million. After that we're done. We'll ready done hopefully in the first quarter of 2018. So you have now is this month a number of dispositions coming through, the fourth quarter a couple of deals mostly in bulk not individual assets, which we've agreed to terms with people that we've done business with before and these deals have already been marketed due diligence substantially done. And then the first quarter deals that we think we could do but haven't yet put to market.
John Guinee: So, if you are modeling, I always hate that word, someone might say dispositions of secondary non-core office, $300 million to $400 million in 3Q, $200 million to $300 million in 4Q and $200 million to $300 million in 1Q 2018.
Michael DeMarco: I think that's a pretty - that's good numbers John.
John Guinee: Okay. And then the uses of that capital are $465 million of debt repayment and the rest redeployed into apartment development, is that the right way to look at this?
Michael DeMarco: The first $465 million is clearly identified for two outstanding issues that we've told the market we would like to eliminate in our balance sheet, one is the expiration of the $259 million of unsecured bonds that come due in December 2017, which if we even failed on the sales, which we don't think we will, we have the line capacity to take out. The second is a piece of mortgage debt held by New York Life and Northwestern Mutual, which comes due in 2019 which is on Plaza 5, 2015 - sorry 2018 excuse me, 2018 which is on Plaza 5, so we look to repay that earlier, so the later part of the year, it's like November I think, 2018. Those are the two pieces of debt that total and combined $465 million that we've identified. After that we have to look to either pay down other pieces of debt if we chose to which get our leverage correctly or we may purchase other assets. As we've always stated, we do have built in gains on a number of assets, and we've always been very careful about getting rid of assets that we don't want to own, but not triggering distributions that we don't want to live with which will do lot of capital. So we could buy something, we could redeployed in to multi-family development. But I would point out, we still have a $150 million of we could determine this dry powder. From a Rockpoint that we haven't drawn down on yet. That would satisfy the upcoming uses of funds and Marshall's platform for the next quarter or two maybe three.
John Guinee: Okay. And then I guess the good news is, there is 10.31 gain in these assets, on your preliminary numbers those at 10.31 gains essentially require you or make it highly favorable to buy a certain amount of assets and were you able to shelter that in the Monaco deal?
Michael DeMarco: No, what we did tell, John, it's you are going in the right path just Monaco site detour. When we bought the RHR portfolio in the first quarter, it allowed us to have a parking place for the next series of buildings that we sell had the proceeds be available has to pay down debt, but again not be attributable to us because we've put it into the Short Hills and draw the farms assets. Then the next set is something we have to do which we do tax conversations by weekly around here and we're pretty depth. I would point out is just not to self-congratulate us. As an institution, we've moved pretty quickly and pretty adroitly through what most people consider a minefield of tax situations to have sold as much as we have, to redeploy as much as you had and we have no intention to stopping. We were accomplished. Actually we said we have to go we headed for sales, actually it was much more difficult, this is easier for us because the most in portfolios, still thinking problems, but if fewer transactions and better quality assets were signed.
John Guinee: Great, thank you.
Michael DeMarco: Thank you, John.
Operator: We'll go next to Manny Korchman, Citi.
Manny Korchman: Hey, good morning, everyone.
Michael DeMarco: Morning Manny.
Manny Korchman: If we switch back to the I guess the delays in the leasing, is it a matter of the tenants not being ready, is it a matter of them looking at other options, is it a matter of this never happening, so give us a flavor for how, what's happening with the leasing discussions?
Michael DeMarco: Thank you, Manny. I would tell you if you looked at this two years ago in each quarter after, three of the other conversations would have been about back office financial, right. You would have said you know we would have gone renewals two years ago for the Bank of America, which opened up some technology but essentially their back office operations. Since that time, the tours of change, we get production companies. We get ad agencies of which we landed on the comp last year. We've gotten more technology base in companies. So the companies you are chasing and had gone from incentives and had lifted out building as the building to receive incentives, but haven't made the decision yet for I can't identify them, but fall on to the certain categories, they fall into consumer products, food, technology, fashion. So those are all three of her big ones that we looked at. They're still out there and they haven't found a home yet. We think they will enjoy being here as a tenant, but we are not waiting for them. So we constantly look to upgrade the buildings. And as you know and you visited with me recently. We've done some things to downstairs. We're doing more of things. We're using this time in August. We're working every day to upgrade our buildings across the board. The ferry should be end by mid-September, which is a game changer for us because of direct access right off the door to Wall Street - sorry to the World Financial Center, and 39 Street on a continuous run. And we have a new restaurant opening downstairs with a leading chef, which we think will add to the monthly package and we have other things we've planned and discussed with the cities about activating a Waterfront. So the tours go out, people like what they see, they've been enthusiastic about us. We've been told by the brokerage community repeatedly that we're the buildings of choice in the market, because we've added so much to the monthly package. We just have landed it. So I would confidently say it's when not if.
Manny Korchman: And so if we bring that back to guidance, what have you assuming guidance now, are you completely cutting out any prospect on leasing in the year or you're assuming if they come in now call in October or November instead of then August, I don't know your initial plan was sort specifically what in or out of guidance, and so now I guess the question is, if you land at least call it next week, it's your upside to guidance or if it doesn't happen until December 30, is there downside?
Michael DeMarco: It depends on how the tenant comes into us. So what we were trying to do is, we have spaces already occupied, so it's hard to put a tenant into that space immediately when someone back you vacate, because of construction and repositioning. We had space and the ones we were showing that was getting what we sealed is the vacant space and homicide [ph] stop two and three, which we've gotten pretty good feedback on. If we land, we have a proposal to tenant and to be 75,000 square feet. That tenant came to us, it could impact this year slightly back end, most likely it impacts 2018 and for our numbers that will be running assuming it's toward the middle of the last part of 2018 because of the lag factor. We lost and we've been saying this somewhat loud voice and then probably little lauder each quarter and obviously with this announcement in the loudest voice that it was a little slow on new leasing on the Waterfront since President Trump took over. People have been a little cautious. I think my colleagues have some of the same experience other than Hudson Yards which is still monitors the new deals. We believe it's not a price issue. We look at our renewals. We're getting the price. I feel confident when I looked at the data what we did this past quarter and got 17% on GAAP and 6.6% on cash. We're not exactly where we want to be on cash, but the GAAP numbers was in a range. And we felt like we couldn't keep those numbers and people have accepted those rates. The asking rent on the Waterfront today vast base is about what Cushman and Wakefield's averages to be set the market. The expiring rents this base that we're losing some of it's in the low 30, some of it's in the 40, so we have a roll up both cash and GAAP if we are able to replace those tenants.
Manny Korchman: So, maybe I'm misunderstanding this, but if it was - if your tenant leases for space it's already occupied, why would delays impact 2017 numbers if those tenants couldn't have been in the first place, so why is guidance coming down on leasing?
Michael DeMarco: No, you missed the point Manny. I said the space I was trying to release, the space I was trying to lease was vacant space, that vacant space was available to me. Now I had the vacant space and I have spaces expiring into the year, I was making distinction that I'm not replacing Deutsche Bank immediately, because after we do the space, we model it. I'm not replacing ICAP which is also a third quarter exploration, because I have to remodel that space. What I was trying to lease or the tenant I was seeking was full of vacant space and process two and three that was available immediately for occupancy subject to me constructing there our tenant improvement.
Manny Korchman: And quick final question from me Mike. The assets are under contract for sale, its earnings status update on the process, there is now I think they have been under contract for a while or under lease haven't closed yet sort of where are we in terms of closing dates?
Michael DeMarco: No, I think I got one fairly large group closing by the end of the month. I got a few others that will close hopefully post Labor Day. It is in the process because of the portfolios. They were lumpy. Last year, we did a lot of smaller deals one off, now we're doing more propos of $100 million, $80 million, $200 million which therefore take a little longer as far as they kind of hit a one shot, so the way it is.
Manny Korchman: Thanks.
Michael DeMarco: Thank you, Manny.
Operator: We'll go next to Jamie Feldman, Bank of America.
James Feldman: Great, thank you. So I know you've focused mostly on the Waterfront as a reason for the delay, is there anything outside the Waterfront that's going slower than you would expected on the office leasing front?
Michael DeMarco: I have a couple of tenants that I will have - have reached terms with in the pharmaceutical and in the advertising agencies to go into Parsippany and Moss County locations, just haven't finalized those deals. I always make the joke, and I hate to say this publicly, but it's true but the entire brokerage community is that the beach the summer. Everyone I talk to says, oh I have boat today, I was playing golf in DL or play in Hollywood, so when they come back from their lovely vacation, they assume September will pick up, but we have proposals and finalizing terms on these amount of square footage for the suburbs.
James Feldman: Okay.
Michael DeMarco: I apologize, the one thing I add is, I mentioned it briefly, two years ago, we started a program of looking on what assets we wanted to upgrade, this is the year where it gets done, because it's you a while to draw, to do the CDs, to commission the work. That actually get it done, but we're turning over a brand new space or lobbies and cafes in Parsippany and Short Hills, in Woodbridge and Moss County. So we feel good about what assets repositioned come in the third and fourth quarter.
James Feldman: Okay. And you had mentioned a good quarter in Westchester, I know the reviews in New Jersey have been very positive over Wegman's, are you just seeing any kind of shift here or any kind of you are feeling any more positive on what these amenities really are going to bring to the space and what tenants are saying?
Michael DeMarco: You know I go by the brokers that we used to help handle on space, so whether it's JLL or CW or CBRE or new mark of which we all have some individual contract to them. They've been pretty positive about what we're doing, because we're showing leadership. We showed leadership last year in setting rates and trying to change the way the state leases. You know we're credited with we do more annual bumps as opposed to bumps that was staggered into kind of the lease and we obviously had an experienced of rolling upper rents as opposed to rolling down rents. Now what people looking and saying, people want to pay for the right product, you can't build a state less than $45 a square foot for a new product. So in that market the top end stuff is Short Hills around $45 and in the rest of that the top end is in a high 30s and mid-30s. That tenant wants to get close to almost a new building feel, which means they want to gym, they want conference room space, they want cafes that they want to be in, and we're making those changes. So we feel pretty good that we'll be at the top end of the range of activity from people saying it's the right spot to do.
James Feldman: Okay. And then can you talk about the buyer pull for the assets in expectation of your cap rate?
Michael DeMarco: Guidance is what is we should be on track, we listed as in NAV page. The poll is changing a little bit, we're getting bigger deals, so we're doing 80s and 100s and 200s sort of buyers obviously little more sophisticated and we sold $5 million, $10 million and $20 million last year. You get private equity funds either financing an operator or be in the purchase of themselves, you get an opportunity funds and you get some local individuals, which have a great deal net worth who are buying assets from us and putting it into their family business.
James Feldman: Okay. And then the last question from me. Can you just walk us through the liquidity needs, I guess mostly for Roseland over the next year or so just as we think about funding the development pipeline?
Michael DeMarco: Yeah, so we've actually been in a good spot with there. So for the first two years when we took over maybe it was more like 20 months, we funded our balance sheet of Mack-Cali. Now we did the Rock Point trade, we bought Monaco with that money which gave us a bigger base in Jersey City. Now we have that set up and the cash flows coming off that entity. Since they don't have lot of CapEx needs, Jamie, because it's relatively new buildings, the drop down is 100%. That money is going to fund this short term development needs for the last several months. So we haven't drawn down or made a contribution into that business since April, so it's been four months. We also think we have the ability to sell a couple of the assets that we view at the bottom of the pile of that portfolio and redeployed a capital into something else. The next set of development should be a big project in Jersey City per se but this is a good segue. One of things you should look at when you look at Mack-Cali as a company, and I would really focus on this is, how much of the asset base and incomes going to be from Hudson County by the end of 2018. Those you know we bought Monaco when it comes online, so that's a great amount of revenue coming through from multi-family. But then you have in the first quarter of 2018 what we call building 11 which is a 311-unit building and we walk in, that's going to be constructed that we own 100% out, then we own the Marriott Hotel and Residence Inn complex is being building. We own 90% of it. Those two assets total probably $350 million of let's say NAV which will stock cash flow N-18. You had those funds you had what Urby is going to kick out. You had what we put with Monaco and we shifted from the western part of the state, which was producing most our money fully toward really the Waterfront which is really producing most of the money. So something to take note of when looking forwarded us. The next project we would do is likely in Jersey City for start. We haven't pick it out which one that, but the market seems to be strong enough obviously based on our experience with Urby and to support another development.
James Feldman: Okay, all right. Thank you.
Michael DeMarco: Thank you, Jamie.
Operator: And we'll go to Rob Simone, Evercore ISI.
Robert Simone: Hey guys, thanks for taking my question. All my questions in the leasing have been answered already, but just wanted to go back to the asset sales for a second, so Mike you mentioned early 2018 there's something like $200 million, $300 million of additional sales you guys could execute the portfolio where you want to be, but just trying to reconcile that with I believe it's Page 23 of the supplement future just positioned to the $185 million that's 14 assets. I guess I'm just trying to get a sense of how many additional assets are kind of comprising that GAAP and you know what's the composition of the timing on the balance?
Michael DeMarco: Well, that's the question I probably want to do offline with more detail, but what - we're getting rid ourselves which is public information, this is out there is the Bergen County assets, Totowa, [indiscernible] those sort of Flex businesses. And then we have some other individual asset sales or some assets in Persephone, some in Princeton, but also have been out on the market with brokers. The next segue, which we haven't put out yet would logically be the Flex business in Westchester County, which is more than a couple hundred million, but it's a place older and obviously the financial center in White Plains. So those are the buckets, those are once we've identified from our last October strategic plan as assets we'd want to turn down. Now we leave with portfolios and Persephone that's been turn down do all the farms Short Hills, Metropark and then Monmouth County and then obviously the Waterfront.
Robert Simone: Okay, got it. Yeah I'll follow-up offline. Just one more follow-up. So I know if you guys raised the dividend this quarter and as your multi-family stabilizes and you kind of complete the asset in disposition program, the cash flow profile of the company is going to change a little bit. So I guess I'm just wondering what's kind of like the metric that you guys target and thinking about your dividend, is that in AFFO payout ratio and if so kind of what's the threshold there for you?
Michael DeMarco: When we discussed it with the board, we felt the company had obviously dramatically reduced the dividend under the last leadership team to a level where it was a little low versus the peer group. We do an analysis of taxable shield, our taxable shield was burning with the lot of older assets. To your point as we add in more multi-family, we get a bigger shield coming from it. We were pumping up against what we needed to distribute. We obviously given the fact that we were in a much greater cash flow position, as you pointed out the multi-family is contributing money doesn't have a lot of CapEx needs. We've dramatically reduced our CapEx needs, so now you are left with more cash. So we decided to raise the dividend for this level. And what we did is probably every 18 to 24 months again. But - as you think Rob, I didn't mentioned this in a call, but I should know, but if you think it back 26 months when we took over, we have $9 million rough square feet and all portfolio that we own we've changed over probably three half million square feet of it. I have 100 buildings last day we owned a day it took over. I've 150 people less and the open staffs, I feel bad about, but it needed to be turned down. And I'm likely to make $0.60 more than people expected a year I took over. I think the model actually works, the question is how you fine tune it.
Robert Simone: Got it. All right, thanks, Mike.
Operator: And we'll go to Vincent Chao, Deutsche Bank.
Vincent Chao: Hey, good morning, everyone. Just I know, we talked about the leasing a lot, but earlier you've mentioned the caution on the part of the tenants, but the commentary about the environment the economics et cetera seen pretty positive, and then you also alluded to softness since the election, but just curious is this really just political environment that's causing this caution or that's causing people to be a little bit more tempered in their leasing?
Michael DeMarco: You know it's interesting, when you talk to other owners and I talk to tenants, brokers all the time. The biggest thing is the type of operation they want to run Vince. As you know, people are worried about how much, what densification I want to do, how they want to bench out, is it four plus thousand, or is it eight plus thousand and is it six, common area and a lot of them are looking and saying this is probably a more important decision for them than it has been in the past, because they need to figure out whether recruit, re-track and retain talent. So we run demographic studies all the time and you look at ours versus Manhattan, ours versus Brooklyn, so it's Hudson Kings County and what's called Newer County and you look at the demographics status about how the aged of population is, the education level, social economic so on so forth and you realize that it's getting tighter and tighter for that pool of talent around those three counties, right. If you go and you spread it out to, the ring goes out further, the numbers drop off dramatically. So we think people are looking for the right spot to occupy space. I think Brooklyn falls into the same category why it's been also a market, once a little bit larger and we think a little bit close for Manhattan from a transportation matter. But really I think that's the number one thing. I don't think it's about the price because our price is still dramatically less than Manhattan and I think it's about livestock of winning those. It's about just the place I want to put my 150,000 square foot operation for the front office headquarters.
Vincent Chao: Right, okay. That makes sense, maybe you just tied into that. You've been repositioning the assets in the suburbs, to be more friendly, more amenities that kind of thing that can maybe help us way some of the decisions, it sounds like you're getting into harder that now I guess. Is the he CapEx spend, should we expect that to be elevated here in 2018 - end of 2017 and 2018, is that happens or is that mostly already done in terms of…
Michael DeMarco: It's already done. We've spent a good deal of money over the last several quarters and we just finish up this quarter, and a little bit into the end of fourth quarter. If you go out to Persephone, we put, one of those you put a new cafe and we did the lobby, the building next to which is a complex, we put a conference center and gym, about we did a cafe. They all look great and people get a buzz of it. We went out and we did all the food operations, we took everyone in the in-house, get rid of a third party buffets and now we work with chefs to talk about wellness and open menus. Deliberate process but it's important to people as it is physical finesse, different things we tend to do. We tend to add maybe a hotel or two in some of our campuses in order to provide better amenities to people want to visit and also for meeting room space and also for dining options.
Vincent Chao: Okay, that sounds a bulk of expense behind that. Okay, thanks.
Michael DeMarco: Yep. Thanks Vince.
Operator: Now, we'll conclude our question-and-answer session. At this time, I'll turn the call back over to Mr. DeMarco for any additional or closing remarks.
Michael DeMarco: We appreciate everyone joining us at this time, this is too early and not the right time [indiscernible] and we'll talk to you soon and thank you so much. Bye, bye.
Operator: Again that will conclude today's call. Thank you for your participation.